Chanda E. Brashears: Thank you. You may begin. Good morning, everyone, and thank you for joining us today to discuss our fourth quarter and full year 2025 results. Our earnings release, executive commentary, as well as our Form 10-Ks were issued earlier this morning and are available on our website at ir.cinemark.com. Today's call is being webcast with a replay and transcript available on the website after the call. Before I begin, I would like to remind everyone that during this conference call, we will make forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements may include, but are not necessarily limited to, financial projections or other statements of the company's plans, objectives, expectations, or intentions. Forward-looking statements are subject to risks and uncertainties that could cause the company's actual results to materially differ from those expressed or implied. The factors that could cause results to differ materially are detailed in our most recent annual report on Form 10-Ks as filed with the SEC and available on our website. Also, today's call will include non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the website's most recently filed earnings release, 10-Ks, and on the company's website at ir.cinemark.com. Joining me this morning are Sean Gamble, President and CEO, and Melissa Thomas, CFO. Beginning with today's call, we are shifting our earnings format to provide adequate time for your questions. Following brief introductory remarks from Sean, we will open up the lines for Q&A. With that, I will turn the call over to Sean.
Sean Gamble: Thank you, Chanda, and good morning, everyone. Before we dive into Q&A, I would like to briefly reflect on our 2025 results as well as the advancements we have made over the past few years. Driven by further market share expansion and a series of all-time record achievements in 2025, we delivered a post-pandemic high in worldwide revenue of $3,100,000,000. This strong top-line result, combined with effective cost management and incremental productivity gains, resulted in $578,000,000 of adjusted EBITDA with a healthy 18.6% adjusted EBITDA margin. Through a relentless focus on initiatives that are aimed at expanding our audiences, activating new sources of revenue growth, optimizing our circuit, and continuously improving our processes and capabilities, we have taken the experiences we create for our guests and our operating agility to new levels. Furthermore, we have developed a distinctive set of competitive advantages, including a differentiated position of strength. Over the past three years, we generated nearly $1,800,000,000 of adjusted EBITDA with over $1,300,000,000 of operating cash flow. We increased customer loyalty to Cinemark, meaningfully expanded our market share, and grew our concession revenues and per caps to all-time highs. We fortified our balance sheet, extinguishing over $700,000,000 of COVID-related debt while at the same time reinvesting over $5,000,000,000 in capital expenditures to advance our company for the future and returning $315,000,000 to shareholders through dividends and share buybacks. Achieving these results has required extraordinary dedication, ingenuity, and perseverance throughout our entire company, and I would like to commend our sensational global team for the significant impact they have made setting up Cinemark Holdings, Inc. for ongoing success in the current environment and beyond. As we look ahead, we remain focused on effectively navigating an evolving media and entertainment landscape, continuing to diligently operate our business and delight our guests week after week, and effectuating a multitude of strategic initiatives to further strengthen our company and market position. 2026 appears set to benefit from a robust lineup of compelling films and a volume of wide releases that looks poised to reach pre-pandemic levels. We are excited about the prospects of this year's slate, and we remain highly encouraged by the sustained consumer enthusiasm we continue to see for the types of larger-than-life cinematic entertainment we provide at Cinemark Holdings, Inc., as well as the multitude of opportunities before us that are fully within our control to create incremental value for our customers, partners, and shareholders. Operator, we would now like to open up the line for questions.
Operator: Thank you. The floor is now open for questions.
Operator: Our first question is coming from Eric Owen Handler of ROTH MKM. Please go ahead.
Sean Gamble: Yes. Good morning. Thank you for the question. Sean, given how well premium has been performing for you guys, I am curious
Eric Owen Handler: how many of your theaters have two XD screens? Are there plans to add more theaters with multiple XD screens? And what do you think ultimately that could be?
Sean Gamble: Sure. Thanks for the question, Eric. Definitely premium amenities, we are seeing a growing interest from a section of our audiences who really enjoy the added enhancement that they provide. Specific to your question, we have got about 10% of our domestic circuit that has two XDs. There are others that have a combination of an IMAX and XD, a ScreenX and an XD, but that is where the overlap. Part of the governor on that is just having enough significant screens to add an extra XD to. We are very particular about making sure that if we are selling an enhanced experience that it fully delivers on that, and that is beyond just the sound, the environment, it goes to the scale of the screen. So if it is an existing theater, it needs to be a second auditorium that can do that. We are in the process of rolling out additional screens over the next few years. So we are going to be continuing to do that. We have still a nice runway of opportunity, but I am just flagging that there are some limits to it. We also are just focused on how many of those we have in a theater. Premium enhanced formats still only represent about 15% of overall box office. So while there is a group of moviegoers who do like to pay for that additional enhanced experience, the bulk of moviegoing still is on all the other screens, and our focus is to continue to make sure all of our screens are a premier experience regardless of whether you choose XD or something else.
Eric Owen Handler: That is helpful. And then I wonder if you have any type of updates on new build activity, be it in the U.S. or Latin America?
Sean Gamble: Sure. Our new build pipeline was slowed during the pandemic, obviously, and then we have reactivated our real estate efforts in exploring opportunities out there. We have a number of things that are in motion, but these projects can take two to three years to get off the ground. So we opened a new site in El Paso in 2025. We have plans to open an additional site in Greenville, Texas in 2026. We have broken ground in Omaha, Nebraska on another site for 2027, and then we have a range of other projects, as I mentioned, that are in motion. So we reactivated that. It just takes a little bit of time to fully get up to speed because you have to make sure you get the right site and you go through all the exercises of finding the locations, negotiating the deals, working through all the regulatory processes. It can just take a little bit.
Melissa Thomas: And, Eric, you do see that increase in our pipeline coming through as well in the step-up in capital expenditures that we are expecting from 2025 to 2026. So that is reflected there, as well as to your point on XDs and how many opportunities there are for expansion in XDs, ScreenX, and D-BOX as well.
Sean Gamble: Thank you very much. Thanks, Eric.
Operator: Thank you. Our next question is coming from David Karnovsky of JPMorgan. Please go ahead.
David Karnovsky: Hey, thanks. Sean, in your executive commentary, you noted a softer-than-anticipated slate last year. So I wanted to see, with some hindsight, if you could walk through the factors that you think drove this. Is this primarily about quality and film mix? Or are there any kind of structural
Benjamin Daniel Swinburne: impacts to consider like windows? Thanks.
Sean Gamble: Sure. Thanks for the question, David. At a high level, I would say we view it more as just the normal ebb and flow of the industry. I think perhaps some of the expectations for 2025 got a little bit overinflated coming in. We had some pretty lofty targets for select films. When we look at the aggregate of the slate, there was a bit more of a mixed bag of the ones that overperformed and some of those that did not fully resonate. The year lacked a mega blockbuster that exceeded half $1,000,000,000, and there really was no major summer animated film. So I think if we had had one $300,000,000 animated film this summer, which we traditionally do, I think everybody would be viewing 2025 much differently. So I do not view that as a real structural issue. I think it is just more the way sometimes the strength and quality of films play out and how well they resonate with audiences. Windows is something we do continue to evaluate. It is a big topic for the industry. There are indications that awareness of highly shortened windows is having some effect on smaller movies and more casual moviegoers, which could be providing some headwinds to overall recovery in the industry. There is a factor, but I do not look at the softness versus expectations in 2025 necessarily because of that. It is just more based on some of the really high expectations we had.
David Karnovsky: And
Benjamin Daniel Swinburne: okay. And then, just with margins, when we look at 2025, obviously, attendance was a headwind, but assuming a recovery this year, how should investors think about room for operating leverage? And Melissa, any help in thinking about kind of cost of goods, staffing, or G&A? Thank you.
Melissa Thomas: Sure. From a margin standpoint, we would expect, given we do expect a stronger box office and higher attendance year over year, that would support leverage in our operating model as well as margin expansion. As you know, our EBITDA margins are most heavily influenced by those two factors of box office and attendance. That said, there are a number of variables beyond that that influence our margin: market share, average ticket prices, and food and beverage per cap, and then, in addition to that, incremental value that we expect to capture from our strategic initiatives and our ability to manage cost pressures. And then for international segments, our performance will depend on, we are talking about film slate, so how film slate resonates with their audiences as well as inflationary and FX dynamics. And then to your question on expenses, particularly on a go-forward basis, from a G&A perspective, we do expect our G&A to continue to reflect merit increases and rising benefits costs. We are making targeted strategic investments in talent and capabilities, including cloud-based software, to continue to advance our strategic priorities and position the company for long-term success. But we remain disciplined in our approach to expense management, ensuring that our spend is closely aligned with long-term objectives. And then broadly, as you think about our variable costs, those are going to flex with attendance, albeit not at the same rate.
David Karnovsky: Thank you.
Sean Gamble: Thanks, David. Thank you. The next
Operator: question is coming from Eric Wold of Texas Capital Securities. Please go ahead.
Eric Wold: I guess, a question on kind of moviegoer monetization. Can you talk about, with the strength you had in concessions in Q4 and then broadly throughout last year, what strategies have been driving the most success that you have put into place with the various ones that you have used? Any way to parse out how much of the increase was film mix influenced versus just basket and incidence? And then lastly, do you think the opportunity is going to push ticket price and the concessions higher this year given the environment that we are in economically? Thanks.
Melissa Thomas: I will take that one from a per cap standpoint. Our per caps domestically were up 5% year over year, and there are three primary drivers to that. First, our strategic pricing actions; second, higher incidence rates; and then third, a shift in product mix given the growth in merchandise sales as well as enhanced foods. As you think about the breakout, I would call it probably around three points strategic pricing, a point incidence, and a point driven by shift in product mix. In terms of the key catalysts, as we have said before, food and beverage is a game of singles and doubles. We have a variety of initiatives that we have been executing upon and others that we will be executing on to really drive growth on an ongoing basis, and that includes increasing the throughput of our concession stands, leveraging planograms to improve the monetization of our space, we continue to introduce new concepts, new flavors, expanding our enhanced food offerings—we still think there is runway there—as well as growth in movie-themed merchandise, and that is just to name a few. As we think about the go-forward looking ahead to 2026, we do remain optimistic about our ability to deliver another year of moderate year-over-year growth in concession per cap, supported by the broad range of initiatives that I just mentioned. And we do think that growth can come from both incidence as well as further opportunities to optimize our pricing. Bear in mind, from quarter to quarter, our per caps will fluctuate with film mix. And then in our international markets, we do expect concession per cap to be impacted by inflationary as well as FX dynamics in the region, while shifts in country mix also can play a factor. Overarchingly, our focus is on delivering sustainable per cap growth and ensuring that our strategies are supporting both profitability and long-term value creation.
Eric Wold: Perfect. Thanks, Melissa.
Sean Gamble: Mhmm. Thanks, Eric.
Operator: Thank you. The next question is coming from Chad C. Beynon of Macquarie Asset Management. Please go ahead.
Chad C. Beynon: Hi, good morning, Sean and Melissa. Thanks for taking my question.
Andrew Edward Crum: Wanted to ask about international attendance. It fell in 2025, and I believe a lot of that decline was really just kind of a product of what was out there in terms of
Robert S. Fishman: the movie slate. But as you look at 2026, Sean, I know you talked about your optimism, maybe domestically or globally. But what about internationally? Do you think this could be an inflection point and maybe we could see attendance even exceed what we are expecting in the U.S. in 2026? Thanks.
Sean Gamble: Sure. Thanks for the question, Chad. Yes, I mean, I think you are right. When we look at overall 2025 for Latin America in particular, the profile of the slate in terms of what worked and what did not work, it skewed a little bit lower for that region relative to the U.S. When we look at it, that is just nothing more than the product, and we see how that fluctuates year to year. 2026, specific to that region, we are optimistic about a better balance relative to the U.S. We think that the overall slate looks set to resonate stronger with Latin audiences than 2025 did. So you have got titles like Michael, The Super Mario Galaxy, Spider-Man: Brand New Day, Minions, Avengers: Doomsday. These are all movies that really will resonate. There is another Insidious title in that particular type of genre of horror, and that franchise in particular has done really well there. Certain films like The Odyssey, Star Wars, Supergirl, Cat and Hell—some of those sci-fi oriented—Dune—those do tend to skew down. But on the whole, we definitely are more optimistic about 2026 in LatAm. And in general, attendance throughout that region has recovered, in certain pockets more so than in the U.S. And with everything, I mean, a great example we always like to point to is Argentina. With all the hyperinflation and the economic and political turmoil that has happened within that country over recent years, attendance is neck and neck with pre-pandemic levels. So they have recovered exceptionally well. So when the content is there and it connects, that region in particular can really show some upside.
Andrew Edward Crum: Okay. Great. Thank you.
Robert S. Fishman: Then as we think more broadly just in terms of the loyalty product, I think you said 60% domestically, 30% internationally. Are there any changes that we should expect in the near term that could either help that loyalty, increase moviegoing? Just anything on the product side that could be different in the near term for consumers.
Andrew Edward Crum: Thank you.
Sean Gamble: I would say, I do not know if there is anything materially different. I think that the core value and the core benefits that are inherent to these programs continue to resonate with existing members and continue to attract growth in our overall membership. We have continued to see growth year after year in these programs. Movie Club, in particular in the U.S., is up over 50% from where we were in 2019. We do expect that that will start to level off a bit more as the program continues to mature. But thus far we have continued to see terrific growth. So what we are doing is, in addition to those core benefits, we do keep adding additional elements to it just to keep it fresh and enrich it. There are all kinds of surprise-and-delight events we do for our loyalty members throughout the year where they get invited to special programming and things of that sort. I mentioned that we just added a new premium tier to Movie Club, which we are hopeful will attract those audiences who are more inclined to upgrade on a regular basis. We have introduced badges. So there is a whole slew of things like that that we continue to add to the program to make it attractive from a retention standpoint as well as attracting new guests. So I think that is really it. We do other promotional events sometimes tied to films, sometimes tied to just engaging types of incentives also to stimulate growth. But those are the things that we are continuing to lean into to sustain growth and sustain our existing membership.
Robert S. Fishman: Okay. Thank you very much.
Sean Gamble: Thanks, Jeff.
Operator: Thank you. Our next question is coming from Andrew Edward Crum of B. Riley Securities. Please go ahead.
Andrew Edward Crum: Hey, thanks. Hey, guys. Good morning. So, solid ATP growth has accelerated over the last few years. How do you foresee the rate of change for ATP trending going forward? Given the ongoing shift towards and success with PLF across your circuit amongst other factors, is the mid-single-digit increase the business delivered in 2025 a new normal? Or was last year more of a one-off and not sustainable?
Melissa Thomas: Thanks for the question, Drew. We were pleased we have delivered a 4% CAGR in our domestic average ticket price over the past three years. As we look ahead to 2026, we expect average ticket prices will increase modestly year over year in the full year, and that is really twofold. One, we do believe that there are further strategic pricing opportunities, as well as opportunities related to our continued expansion of premium offerings—so as we mentioned, XD, D-BOX, IMAX, and ScreenX. So we do think it is twofold, but not to the same extent that we saw in 2025, given some of the outsized mixed benefits. But keep in mind, average ticket prices will fluctuate quarter to quarter depending upon the film mix. And then on the international side, inflationary and FX dynamics in the region could play a factor as well as country mix. We do continue to approach our pricing decisions thoughtfully and are leveraging data to identify those optimal price points that maximize attendance as well as box office performance.
Benjamin Daniel Swinburne: Got it. Okay. Thanks. And then maybe one follow-up. Can you address
Andrew Edward Crum: the planned splits between U.S. and international in terms of CapEx spend? And is the $50,000,000 number you are planning for this year a good annual run rate for the business? Or is 2026 a peak? Thanks.
Melissa Thomas: Yeah. So in terms of splits between international and the U.S., typically, around $50 to $60,000,000 of our CapEx is dedicated on the international side. The remainder is towards the U.S. And then in terms of our capital expenditures in 2026, those are ramping up to $250,000,000, and that is based on not only our expectations for cash flow generation but also the ROI-generating opportunities in front of us that we are looking to pursue. As we look forward beyond 2026, the extent of our spending and whether we stay at that $250,000,000 level will again be predicated on the ROI-generating opportunities we see in front of us. And then the other point I would call out is, as the new build pipeline ramps, that can cause variability from year to year with temporary upticks and then coming back down, just depending upon where we are at within that new build pipeline timeline. So there could be some fluctuations, but by and large, I would say it is too early to tell at this stage.
Andrew Edward Crum: Okay. Thank you.
Sean Gamble: Mhmm. Thanks, Drew.
Operator: Thank you. The next question is coming from Patrick William Sholl of Barrington Research. Please go ahead.
Patrick William Sholl: Hi, good morning. I just had a quick
Sean Gamble: follow-up on some of your CapEx comments. Just on the new builds, are these expanding into additional markets? Or are they more replacing older theaters within those markets? And I guess similarly, is that the path that you are taking to increase the recliner penetration, or are you still finding opportunities within existing theaters to renovate those and increase the competitiveness and attractiveness of those amenities?
Melissa Thomas: So in terms of the new build pipeline, most of the locations that we are looking at are new locations. So that would be in new markets where we see that there is underpenetration and there is opportunity for us to go in and have a high-confidence return. So that is really the genesis of what we are doing on the new build side.
Sean Gamble: And I would add on the recliners, we do still see recliner opportunities. With 72% of our circuit reclined in the U.S., those are fewer than they once were, but we are still finding opportunities beyond our new builds to have attractive returns with some of our theaters that strengthen the overall competitiveness as well as provide a good lift in performance.
Patrick William Sholl: Okay. And then on just the film slate for 2026 and
Sean Gamble: maybe even 2027 as well. I guess, how are you seeing the cadence of releases? And
Benjamin Daniel Swinburne: are you seeing it kind of create
Patrick William Sholl: more stability in box office in the coming years? Yes, this is how we
Sean Gamble: It is a great question. The good news is volume continues to grow. We saw that 2025 got to within 5% or so of pre-pandemic levels. 2026 looks to at least match that, potentially go beyond that. And the benefit of that is, obviously, our industry tends to be a bit of a momentum type of business where people come to the theater, they see what is coming up, they get excited, they have a good experience, and they come back because of that. And when you get these kinds of lulls in terms of things being released, you are winding up having to reboot the engine over and over again, and that is the type of cycle that we have been in. So I think the good news is with further recovery in volume coming forward, there should be fewer of those instances of having to reboot. I will say what we have still yet to see—and these are conversations we continue to have with our studio partners—is for a long while prior to the pandemic, we would see more of the films getting bunched in the summer and at year end. And then in time, everybody learned it is a twelve-month calendar. Movies can do huge business any time of the year: first quarter, late summer, not just in those peak when-kids-are-off-from-school months. I would say the industry has gravitated a little bit back to this old norm, and we see a bit of a more crowded summer in 2026 and a crowded year end. So that is one of the things that we are still looking for to fully resolve itself so we can truly have a fluid cadence of movies every month throughout the year and just sustain that momentum. So that is something that still is being sorted out, but the good news is it is moving in the right direction.
Patrick William Sholl: Okay. Thank you.
Melissa Thomas: Thanks, Patrick.
Operator: Thank you. The next question is coming from Robert S. Fishman of MoffettNathanson. Please go ahead.
Robert S. Fishman: Good morning. Two for you. When you look at 2026 and beyond, how do you balance leaning into your organic growth
Sean Gamble: led by the sustainability of market share gains
Chad C. Beynon: compared to positioning the company for other opportunities like M&A that has not really been in focus for a while? And then, if we could get any update on where things stand with any conversations you have had on the Warner Brothers acquisition, both with either Netflix or Paramount/Skydance? Thank you so much.
Melissa Thomas: Thanks, Robert. I will take the first part of your question. In terms of our strategy for investing in growth, we have a balanced and disciplined approach to capital allocation, and we intend to invest in growth opportunities, including new builds, existing theater enhancements, and M&A to the extent attractive opportunities present themselves. When you think about M&A, we evaluate all transactions that come to market and we target high-quality assets with minimal deferred maintenance needs. Consistent with our disciplined approach, we are looking for accretive M&A opportunities at attractive multiples. We prefer to deepen our penetration in markets where we already have a presence to leverage established infrastructure, relationships, and market knowledge to drive growth and create value. Naturally, there are other factors we also look at: scale, strategic importance, competitive positioning, and margin profile. And then in terms of new builds and theater enhancements, we again remain disciplined with our capital expenditures. We are looking for ROI-generating opportunities that are high confidence and that position the company well for the long term and enhance the guest experience. But overarchingly, we are looking to balance among the three, but that is something that we are evaluating on an ongoing basis to try to create value for all shareholders.
Sean Gamble: And on that last point for Warner Brothers, I would just add too, they are not mutually exclusive. The good news is with the strength that we have recovered on our balance sheet, we have the opportunity to pursue multiple attractive accretive types of deals, whether they be new build or M&A, to the extent they are there. But as Melissa said, we are going to continue to be disciplined in that approach. Specific to the Warner Brothers deal, I do not know if there is a tremendous amount to update on that. Clearly, the overall transaction remains pretty active and fluid in terms of what direction this may go going forward. Our focus, along with our trade organization, CinemaCon United, has just been to engage directly with all the respective parties as well as the regulators to ultimately pursue an outcome that we believe is in the best interest of our industry, of the creative community, of consumers, and of the local economies that benefit from healthy theaters in their towns. And that is a focus on sustained volume of output with whichever direction this transaction plays out, sustained exclusive theatrical windows in a meaningful way that support the industry, as well as sustained levels of comprehensive marketing campaigns to get that message out. Those are the things that have driven value. They have been moving in a positive direction with new entrants coming in and growth from different players in terms of volume. And we just want to make sure that things continue to progress that way versus any type of risk that might ensue from consolidation of a significant studio like Warner Brothers that has been a strong partner of theatrical exhibition for many, many years and just had a record-breaking performance in 2025.
Chad C. Beynon: Sounds good. Thank you, guys. Thanks, Robert.
Operator: Thank you. The next question is coming from Omar Mejias Santiago of Wells Fargo. Please go ahead.
Omar Mejias Santiago: Good morning and thanks for the question. Sean, market share has been a key driver of Cinemark's outperformance and we were encouraged by the 4Q results despite softer box office. I understand that for the box office to recover there might be some capacity constraints, but how have you guys been able to gain share, and how do you plan to manage your footprint with the busier slate in 2026?
Sean Gamble: Sure. Thanks for the question, Omar. It has been a variety of things we pursue. As we unpack 2025, first, we were thrilled with our overall results of 2025. We continue to see the benefits of the varied initiatives that we have been pursuing to build our audiences—everything from our showtime programming to our marketing actions to our pricing strategies to our loyalty programs, which we spoke about earlier. All of those things have helped support increasing our structural market share. 2025 in particular, while we had, at the beginning of the year, expected our market share might moderate a little bit, it actually continued to benefit from a high concentration of family and horror films, as well as what played out to be more of a balanced cadence of releases throughout the year, which limited the amount of capacity constraints we hit and enabled us to fully optimize our screens. So we benefited from that throughout the year. I will flag that obviously our share year to year will fluctuate based on that content mix and how well individual films resonate with our audiences as well as those capacity constraints. So when we look at 2026 in particular, again, we see a highly compelling, diverse profile of films on paper as we look at the composition. There is a little bit more crowding that we do see during the summer and year end, as alluded to a moment ago. You have some pretty substantial films in that pocket, which could lead to more capacity constraints where we are just fully utilized and do not have the benefit of expanding further like we were able to do in 2025, which could create a little bit of a headwind and cause our market share to normalize a bit. Ultimately, it is just going to depend on how the actual results film by film play out and the extent to which any of those dating decisions spread a bit more from the way they are organized right now.
Omar Mejias Santiago: Great. And on alternative content, you guys have seen some notable success recently. Just curious how Cinemark is leaning into this category and what untapped opportunity you see within this vertical? Thanks.
Sean Gamble: Absolutely. Alternative content is definitely one of the real positive signs we are seeing with nice growth, similar to younger moviegoers—we are seeing nice growth in younger moviegoers—but specific to alternative content, we have had multiple consecutive years now where alternative programming has been more than 10% of our box office. And that is not just because of the overall box office; the pure proceeds from alternative content, as an example, in 2025 are up more than double what they were in 2019. So audiences continue to be attracted by this content. And it is a range of different areas—everything from faith-based films to anime to other foreign films, content creator concerts. There is a whole slew of things: repertory films—they just continue to grow in their scale and magnitude. And to your specific question on what we are doing, we have a team that is dedicated to finding these kinds of opportunities, pursuing them, and then trying to really understand what the potential is so we can optimize how we are programming that throughout our circuit. And it has been really successful, and we expect, or at least we are optimistic about, continued growth in this area as we move forward.
Omar Mejias Santiago: Great. Thank you, guys.
Operator: Thank you.
Operator: Our next question is coming from Mike Hickey of Stonex. Please go ahead.
Mike Hickey: Hey, Sean, Melissa, Chanda, congrats, guys, on 2025, and I appreciate this new format as well. It is very helpful. First question from us is just, Sean, the impact on AI. We have obviously seen AI sort of, you know, pun intended, rewrite the script here of a lot of companies and be, I guess, destructive. But it seems like out-of-home entertainment is in a really sweet spot in terms of not being negatively impacted. I guess the flip side, the positive impact, although delicate, I am sure, but on film development, it seems like there is a lot to reduce expense and time and ultimately increase volume. So I am just curious overall your view on AI and how helpful it can be to your business? And I have a follow-up.
Sean Gamble: Sure. You captured some of the points nicely there, Mike. I would say broadly, we are optimistic and enthused about the potential AI has in a number of areas. Specific to things we are doing within our company, the ability to both drive efficiencies as well as support our revenue growth objectives, we see lots of opportunity. We are already incorporating it into pricing optimization, some of the showtime optimization efforts I mentioned, our app development work in terms of how we are doing our software development. We have even got it going in our hiring activities within HR and our guest services. So there is a whole range of things that we are looking to utilize this for within our own company. And then on the content creation side of things, as you just mentioned, we see lots of potential for AI to unlock new types of capabilities, whether that is in visual effects, previs, and efficiencies in terms of moviemaking with timelines and things of that sort, which could lead to an increased volume of movies being made as well as new quality enhancements along the way. So we see a lot of potential for that. Just as every filmmaker has his or her own unique way of bringing stories to life, it would appear that AI is another tool that can enable select filmmakers to use it effectively and do new things that we have not seen before. Obviously, there is quite a bit of risk regarding IP and copyright infringement, and we very much support filmmakers and creatives and our studio partners in their efforts to protect their IP as AI evolves. But it seems like if that balance can be struck appropriately and the right measures and safeguards are in place, there is just a tremendous amount of potential that AI provides for our business specifically and broadly for the industry.
Mike Hickey: Nice. Thanks, Sean. The next question on the Warner Brothers deal, and I guess specifically focusing on Netflix here. Definitely not asking you to bless anything, but just holistically your view on a couple of things. One, Netflix was originally thinking of a 17-day window, and I think they shocked and awed a few of us here and went to a 45-day window, and maybe that is in front of streaming, so that is a consideration. But just thinking about a new partner here with the 45-day window, whether that is workable or not. And then, just your own view, Sean, in terms of Netflix being sincere or maybe if you believe—obviously, you have conversations with them that are ongoing as part of your business—if you believe they can be a real theatrical partner for you, not just with the Warner Brothers asset, but maybe the core asset as well. Thank you.
Chad C. Beynon: Sure.
Sean Gamble: Thanks, Mike. I would say we have said this before for a long while. We have been optimistic that in time Netflix would recognize the opportunity that theatrical exhibition provides their platform and their content, much like all their other peers are doing, whether it is traditional studios, Amazon, even Apple getting a bit into the space. We have seen through data and we have heard from the conversations that theatrical exhibition provides a real meaningful lift to engagement and retention and interest in those platforms. So we thought for a long while there is just value that was being ignored by not taking advantage of that opportunity. We obviously look at the recent comments as providing some element of encouragement. I would say that we, much like our industry at large, are a bit apprehensive in placing too much stock into those comments just given how contradictory they now are to many of the other disparaging remarks that have been made over the recent years, even as recently as the middle of last year when there were references to the industry being outmoded as an idea. So I think there is going to need to be more action versus comments and firmer assurances to give everybody comfort that what is being said is real. A 45-day window, I think, generally speaking, we all view that as a good target point that strikes the right balance of giving studios more flexibility with getting content into the home and capitalizing on the marketing campaigns that have been spent in the theatrical space without creating too much adverse risk to theatrical performance. As mentioned earlier, in some cases, things have kind of overshot that a bit, and it is causing some concern about what that might mean on select films. It is a good starting point, but it also begs the question of 45 days to what? Forty-five days to a transactional type of offering in home, like a premium video on demand, is one thing where there is a price point there. Forty-five days to an SVOD, which consumers generally view as free, is a different type of construct. So there is a lot still to clarify with what exactly is being referenced, and again, I think we are all looking for much firmer assurances that are long-standing for not only a window but levels of continued investment and also sustained marketing, which is a critical component of this too, versus just verbal comments and promises.
Mike Hickey: Nice. Thank you, guys.
Operator: All right. Thanks, Mike. Thank you. Our next
Operator: question is coming from Stephen Neild Laszczyk of Goldman Sachs. Please go ahead.
Stephen Neild Laszczyk: Hey, great. Thanks for taking the questions. Sean, would love to get your latest thoughts on what you are expecting to see on the competitive front this year, and if you are seeing anything as you make your way out of 2025 into 2026 that might make you more confident that some of the recent gains in market share are perhaps more structural or could become structural
Andrew Edward Crum: with how you position the brand as you look ahead into this next year?
Sean Gamble: Sure. I think from a broad competitive landscape, competition just continues to grow. We see the industry at large improving marketing capabilities and continuing to lean into amenities and upgrades. I think that is a good thing on the whole because it creates an overall lift for everybody. We too, obviously, are continuing to ratchet up our competitiveness, pursuing ongoing initiatives in the different areas we have talked about before, to try to push our share even further. I think the structural gains we have talked about we are very pleased about. We do our best to tease out how much is content mix and capacity constraints relative to structural things, but we believe at least 100 basis points—growing beyond that, over 100 basis points—of our gains since pre-pandemic levels are sustainable, and we continue to push that further. So I think we feel good about the direction we are heading in and our ability to continue to compete as overall competition grows.
Andrew Edward Crum: Great. Thanks for that. And then, Melissa, maybe just a follow-up on margin. Curious if there is any more help you could perhaps
Stephen Neild Laszczyk: provide investors just on the magnitude of margin expansion you would
Alicia Reese: expect to see in 2026 if box performed in line with expectations, and some of the puts and takes you called out on the expense side a bit earlier?
Stephen Neild Laszczyk: Thank you.
Melissa Thomas: Yes. From a margin perspective, again, as I mentioned earlier, really box office and attendance are going to be the primary drivers, and given anticipated growth, we do believe that supports margin expansion. But there are a number of other variables at play. We have talked about, on the average ticket price side and per cap side, that we do expect to continue to grow those top-line measures. We talked about market share a bit. We will have to see how the film slate, how individual films, shake out to see where market share trends. And then from a big-picture expense standpoint, as I was alluding to earlier, we do expect to gain some leverage over our fixed costs, and that is particularly in the U.S., where we have a higher fixed-cost structure. On the variable expense side—film rental and advertising, salary and wages, concession supplies, and then in the case of international, facility lease expense—those will fluctuate based on attendance and box office performance, although not necessarily at the same rate. Other factors from a modeling standpoint to consider would be ongoing inflation impacts on wage rates and certain concession categories. Also, from a film rental standpoint, just keep in mind that that is going to vary depending upon
Operator: the
Melissa Thomas: mix of blockbuster content. And then utilities and other expenses, I would just call out there. We expect them to remain elevated as we continue to address deferred maintenance needs across the circuit, albeit from a year-over-year standpoint, I do not expect that to be a meaningful headwind given that we started those efforts in 2025. Also on utilities and other, just keep in mind electricity costs, which continue to be impacted by rising market rates. Outside of that, we continue, as always, to pursue productivity initiatives and cost mitigation strategies to maximize our profitability and margin potential.
Alicia Reese: Great. Thank you both.
Stephen Neild Laszczyk: Thanks, Steven. Thank you. At this
Operator: time, I would like to turn the floor back over to Mr. Gamble for closing comments.
Sean Gamble: Okay. Thank you, Donna, for your help, and thank you to everyone for joining us this morning. We really appreciate the time and all your questions, and we look forward to reconnecting in a few months to share and discuss our first quarter 2026 results. Have a great day.
Operator: Ladies and gentlemen, this concludes today's event. You may disconnect your lines or log off the website at this time and enjoy the rest of your day.